Operator: Thank you for standing by. This is the conference operator. Welcome to the CES Energy Solutions Corp. Third Quarter 2020 Earnings Conference Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Tony Aulicino, the CFO. Please go ahead.
Tony Aulicino: Thank you, operator. Good morning, everyone, and thank you for attending today’s call. I’d like to note that in our commentary today, there will be forward-looking financial information, and that our actual results may differ materially from the expected results due to various risk factors and assumptions. These risk factors and assumptions are summarized in our third quarter MD&A and press release dated November 12, 2020, and in our annual information form dated March 12, 2020. In addition, certain financial measures that we will refer to today are not recognized under current general accepted accounting policies. And for a description and definition of these, please see our third quarter MD&A. At this time, I’d like to turn the call over to Tom Simons, our President and CEO.
Tom Simons: Good morning, and thank you, Tony. On today’s call, we’ll provide an operations and financial review of Q3. We’ll also provide an update to listeners on our current activity levels, our cash position and our share buyback process. While we celebrated the news of a possible COVID vaccine on Monday, like all listeners, we will remain cautious and vigilant running the business until planes and office buildings are full again, we believe energy demand will be muted. This cautious and prudent approach allowed us to achieve what we think are extraordinary results in horrible and market conditions for energy services companies. In Q3, we achieved adjusted EBITDAC of $18 million. We built a cash position of almost $30 million and purchased and canceled 2.6 million shares, which is about 1% of our outstanding share count. We did that while upstream activity plunged more than 70% from Q1 and pricing was discounted. Production treating volumes remain partially shut in and pricing was also discounted. I want to acknowledge that it’s been hard on our employees. It’s been hard on our shareholders and hard on our suppliers. We do remain confident that doing the right things at the right times will benefit all stakeholders over the fullness of time. At this point of the call, traditionally long-term followers of the company would expect a very granular operations and technical update for me. I want to explain why I’m choosing to deviate from sharing exciting problem solving breakthroughs with customers across North America. I won’t share what we’ve done with supply chain to remain profitable when industry volumes and pricing have collapsed. And here’s the reason. We have some terrible competitors. I can’t or won’t explain their business practices. I can only explain our own. So part of our very deliberate strategy is to let competitors self-destruct. And for that reason, we will not be segmenting production versus upstream results, nor will we segment the contributions are niche businesses make the headline EBITDAC margins, so Steamworks, HDD Trenchless, Sialco and Clear Environmental. We’re not helping our competitors figure out what makes our results better than theirs. We do realize than analysts are very concerned that customer consolidation implies lower oil field service margins across North America. We like our chances to remain a cash flow generating company, because of our unique business model and company attrition. With that unique caveat, I’ll get to the meat of the quarter and current activity. I’m going to begin with Canada. In Q3 Canadian drilling fluids averaged 18 jobs through the quarter. We had 12 running in July, 18 in August and 24 in September. And I’m really proud to say that today, we’ve got 38. PureChem is your Canadian production treating business also led by Ken the same gentleman that I started the company with who runs Canadian drilling fluids. We saw steady improvement through Q3, as Alberta Government and the curtailment, I think subsequent to the quarter, we were seeing our volumes continue to go up. And we’ve also seen a result of certain customers expanding their winter upstream programs. So that’s a positive for the business across the Board in Canada. I’ll move on to the U.S. AES or U.S. drilling fluid business average 41.6 jobs in the U.S. through Q3. Three quarters of those were in the Permian. And today about three quarters of our drilling fluid activity remains in the Permian. In July, we had 38 jobs running in the U.S., in August 42, in September 45 and today I’m proud to say, we have 54. I’ll note that our throughput capacity for the Permian is over 140 jobs that’s because of CapEx we spent one or two years ago, we got two monster mud plants with rail siding there. So as operators see better oil pricing in the future, because of declines, natural gas has become valuable again, as drilling goes up in the Permian in the future post-COVID. We’ve become the number one drilling fluid provider in that market. And we will have the ability to do more work. JACAM Catalyst, our production treating business in the U.S. we’ve seen about 90% of production in the Permian restored. We’ve seen less restored in the Rockies and a little better than the Rockies in Oklahoma, but not fully restored. We’ll note that pricing across the spectrum for the company remains discounted, we’ve had some comeback, that’s been pegged to WTI, but certainly nothing like what it was pre-COVID. I’ll note that as the Permian consolidates over time, we are now the number one drilling fluid provider in that market. I had a chance to be there just a couple of weeks ago, myself. Vernon and his team have now opened the world-class lab that the Disney brothers built on budget, on time. We bought that business four years ago. It was seven acres in size, today it’s over 30 acres. As that base and rebuilds production, we’re poised to grow with it. With that, I’m going to turn the call over to Tony for a financial update.
Tony Aulicino: Thank you, Tom. Our third quarter results continue to demonstrate the company’s financial resiliency and balance sheet strength during challenging industry conditions as Tom alluded to. Despite generally depressed industry activity levels, we were able to continue to strengthen our balance sheet through working capital harvest and generate positive funds from operations, driven by improving EBITDAC levels. We entered the downturn from the position of financial strength and proactively implemented measures during Q2 to provide additional protection and ultimately support growth as industry conditions stabilize and gradually improve. Our third quarter benefited fully from those cash preservation and cost reduction measures, and as a result, our overall liquidity position and balance sheet strength continue to improve as we once again displayed our defensible business model and our counter cyclical balance sheet, a little points of the cycle. CES exited the quarter with a net cash balance of $29 million compared to a $93 million draw at the end of Q1, as the downturn began. Our strong cash position was driven by free cash flow generation through working capital harvest, continued inventory management and cost containment measures. We ended Q3 with $292 million in total debt net of cash comprised primarily of $289 million of the company’s senior notes, which don’t mature until October 21, 2024. This represents $135 million reduction from the $427 million at March 31, 2020. Our focus on company-wide working capital optimization in 2019 and into 2020 positioned the company extremely well to maximize working capital cash in flows through the second and third quarters as activity levels declined. During the quarter, CES realized a further reduction in working capital, which fell from $417 million at the end of Q1 to $301 million at the end of Q2 and then down to $267 million to close the third quarter, representing a total reduction or cash harvest of $150 million. We would also like to note that we experienced a similar working capital harvest during 2015-2016 downturn when we harvested $153 million, and came out of the downturn with an undrawn facility, net cash position and ample liquidity to support improving activity levels and market share growth. We expect to be in a similar position coming out of this downturn and believe that our Q3 balance sheet demonstrates that capability. Through the pandemic, we have benefited greatly from the high quality of our customers and diligent internal credit monitoring processes. As a result, we have managed to maintain a strong collection record and minimized accounts receivable losses recording $3.1 million in credit loss provisions to date in 2020, representing less than 0.5% of revenue during the nine months ended September 30, 2020. We continue to remain very diligent and focused on strong AR collections, minimal bad debt expense and inventory management. Subsequent to September 30, industry activity continued to improve marginally from trough levels seen earlier in the year in both production chemical and drilling fluids end markets, requiring the company to make modest investments in working capital, while still retaining a net cash balance of approximately $23 million at this time and an undrawn fully accessible senior credit facility. during the quarter, CES generated revenue of $166 million compared to $159 million in Q2 and down from 315 – sorry, $315 million in the third quarter of 2019. revenue generated in the U.S. was $114 million representing 68% of total revenue for the company while Canadian revenue was $52 million in the quarter. both of these revenue results represent a decrease over prior-year comparative periods, which was driven by reduced activity levels across all business lines as the low commodity price environment resulted in temporary production shut-ins, deferred completions and significant declines in drilling activity throughout North America on a year-over-year basis. As Tom mentioned, notably, the U.S. drilling fluids market share increased to 17%, a record for the company and up from 13% in Q3 2019, and the previous record of 15% in 2020 – in Q1 2020. CES achieved adjusted EBITDAC of $18.2 million in Q3, compared to $8.2 million in Q2 and $42.2 million in Q3 2019. included in these results for the quarter is a $5.6 million benefits recognized by CES from the Federal Government’s Canada Emergency Wage Subsidy program, which has been instrumental in allowing CES to mitigate further Canadian personnel reductions during the downturn. adjusted EBITDAC as a percentage of revenue in the quarter was 11% and represents a significant improvement over 5.1% recorded in Q2 2020. as the company recognized a full quarter of cost rationalization efforts and benefited from the reversal of certain production shut-ins in both the U.S. and Canada. In may, we announced that in light of deteriorating industry conditions, we are eliminating all non-essential CapEx spend and reduced projected 2020 spend by 40% from $50 million to $30 million. In the third quarter, CapEx spend was $3.1 million bringing the year-to-date total to $20.6 million, and we are well on track to end the year significantly below the $30 million estimate. Our balance sheet continues to benefit from prudent structuring and maturity schedules over credit facility and senior notes. as mentioned, total debt at the end of Q3 2020 was primarily comprised of $280 million of outstanding principal on our 6.38% coupon senior notes, which do not mature until October 2024. At September 30, we had a net cash balance of $29.4 million and an undrawn fully accessible senior facility, which notably has a maximum draw of approximately $237 million cash equivalent providing us with significant ample availability. In summary, we feel very comfortable with our strong financial position, liquidity and conservative maturity schedule. We continue to monitor our capital allocation options in the context of market conditions, outlook, and the levels of our surplus free cash flow generation. In Q2 2020, we made a difficulty at calculated decision to suspend our dividend. This decision will conserve approximately $16 million in cash on an annualized basis. Given the heightened uncertainty at the time, we also temporarily suspended activity under the NCIB program in the second quarter of 2020, after using $4.8 million to repurchase 2.3 million shares in Q1. During Q3, the company opportunistically repurchased 2.6 million shares with an average price of $0.90 per share for a total amount of $2.4 million and repurchased 1.0 million of our senior notes at 93.75. subsequent to Q3, we also repurchased 2.1 million shares at an average price of $0.73 per share. We continue to pursue share buybacks and bond repurchases in the context of our assessment of market conditions, market prices, and certainty around our surplus free cash flow levels. We remained responsibly cautious on our outlook for 2020 and beyond in this oil price environment. However, we came into this downturn from a position of strength with an excellent first quarter and strong balance sheet, and with a proven countercyclical leverage model in the second and third quarters. Our goal through this COVID-19 driven downturn continues to be the safety of our employees, the preservation of our strong balance sheet and optimization of our industry-leading operations and critical employee base to weather the downturn and maximize our potential for when conditions improve.
Operator: [Operator Instructions] The first question comes from Keith Mackey with RBC. Please go ahead.
Keith Mackey: Hi, good morning. Thanks for taking my questions. First one, just on CapEx, what do you kind of project your maintenance capital to be currently and how should we be thinking about CapEx for 2021 in general?
Tony Aulicino: So generally, we’ve had the position that maintenance CapEx tended to be $20 million of the $30 million that we were estimating for spend in year. given that, activity levels and headcount have both come down; some of that CapEx is commensurate with headcount and includes vehicles. And as a result, that $20 million of maintenance CapEx that we’re expecting to spend in the year, will likely be a bit lower in the mid-to-high teens. and so on a 2020 basis, we’ll see where we’ll end up. As I mentioned, we’ll be below the $30 million, likely below $25 million and maintenance CapEx could be in the mid-to-high teens as a portion of that. to be honest, Keith, it’s really difficult for us to project at this time, an estimated CapEx for next year, but we would have started with the same estimate that we gave this year. And given that, we’re at current activity levels and current headcount, we’d expect that maintenance CapEx in 2021 to be $20 million or below.
Keith Mackey: Got it, okay. Thanks for that, Tony. Last question, when the shutdowns sort of started up, one of the thoughts was that the vertical wells that required the expense of treater trucks would be the ones to shut in and not come back, and therefore, lower your overall capital intensity. Has that played out or have you sort of changed your view based on what you’ve seen in the market as things have come back a little bit?
Tony Aulicino: Some of that’s still in progress, Keith, the Permian’s a big treater truck market. That market has mostly come back on the Rockies in Oklahoma or the market, where there’s still stuff shut in. Some of the old vertical stuff has stayed shut in. and so there’s a little less treater truck intensity.
Keith Mackey: Got it. Okay. That’s it from me. Thanks very much for the color.
Tony Aulicino: Thanks, Keith.
Operator: The next question comes from Aaron MacNeil with TD Securities. Please go ahead.
Aaron MacNeil: [Technical Difficulty]
Tony Aulicino: Aaron, we’ve got a glitchy connection there. We understood it and that’s a great question. So, you’ll probably hear this from big chemical companies, maybe, other companies that move things on the water. Some of the shipping companies are sort of turning the screw on probably more than just North America. They’re actually tightening supply of ships, so they can get freight rates up, which is interrupting supply chain a little bit. So, we’ve had to go into North America and buy some of our feedstock, where ordinarily it would come from the water. So, we’ve warned customers that there may be some real-time price adjustments required. We’ll see how it goes, getting that as kind of a pass through while you have to use more expensive feedstock. But you nailed it that a lot of our cost of goods is tied to the value of oil and as it moves up and down, our stuff is either cheaper to make or more expensive to make. my dad always used to bug me that I drove gas guzzling vehicles, and I told him I could afford it that if oil was $100, I could drive a suburban or an escalate and not worry about what it costs to drive. So, it’s a little bit like that in our business. but there’ll be a little bit of variability in some of our gross margin, because of some of the shipping stuff. other than that, vertical integration for us and some very clever, and we think sustainable work by our supply chain people have helped our margins. but as I said on the call before, we’re not lifting the kimono and helping people copy us.
Aaron MacNeil: [Technical Difficulty]
Tom Simons: Tony, you want to take that or you want me to start?
Tony Aulicino: I think we’re just going to reserve comment, Aaron; it’s in everyone’s interest that we just decide this stuff in real-time and announce it as it happens. We’re going to not run out of money. We’re going to make sure we can pay for the bond and fill the shelves with product when we need to and if we’re going to buy a lot of stock, the last thing we should do is tell everyone before we do it. So, I think we just kind of want to keep our head down and run the business.
Aaron MacNeil: [Technical Difficulty]
Tony Aulicino: Yes. that was before COVID, it’s a new – people can fact-check this we’ve shaved, probably a nipple, against $1 of working capital off. That’s a combination of people and field offices getting invoices out faster using AI to be able to carry less inventory on drilling locations by proving to company men that they were overstocking the drilling rigs with contingent products, and the production part of the business, which you don’t have to be a genius to figure out is becoming a bigger part of the company, went upstream, collapses the way it has. It uses less working capital than the drilling part. So, we’re always going to need working capital. We wish we didn’t, but as long as people pay their bills, when it slows down, we get all the money back, it’ll be a little less working capital intensive than it was historically, but that’s not because of COVID. It’s because of a lot of deliberate activities that started to show up, say a year ago and that’s from Tony and his team to Gary and his people in Midland and Vernon, Baxter and Ken, and there are people running operations.
Aaron MacNeil: Okay. That’s all from me. I’ll turn it over. Thanks, guys.
Tom Simons: Thanks, Aaron.
Operator: the next question comes from Cole Pereira with Stifel. Please go ahead.
Cole Pereira: Hey, good morning, guys.
Tom Simons: Good morning, Cole.
Cole Pereira: So, the U.S. drilling fluids market share was quite strong in the quarter and it sounds like you guys are confident. You can keep that up. Can you maybe, talk about your strategy for that and whether it’s adding additional rigs with existing customers, adding new customers, et cetera?
Tony Aulicino: Sure. Hi, Cole. So, it’s not using our balance sheet, unlike some of our competition. it’s trying to help our customers get pipe in the ground faster than they can using another mud company without losing money doing it and a part of the trick is the infrastructure we have in the right places. We think we’ve got better people, better products and when you kind of mix that all together into a mud system, the proof’s in the pudding. we’ve got high-20s for market share in the Permian. We’re mid-30s in Canada. The deeper the well is the longer the horizontal leg is. in the oil sands, the tar sticks to the pipe. The trickier the well is to drill the better our chances are to distinguish ourselves from somebody that just sells on our relationship or on price. And so as you evaluate, is gas going to be economic for the customer again, because associated gas has declined in the Permian, because money hasn’t went back in the ground and people are going to drill some gas wells again, and you have to drill deeper generally to get that. those kinds of wells are better for us for more in play. So, like our work mix in Canada today, has way less work in Southeast Saskatchewan than historically and the daily revenue was higher on a Montney well than Bakken well. So our strategy is to pursue the technically difficult work have better products, better people and not use it our balance sheet.
Cole Pereira: Got it. Thanks. That’s helpful. Maybe going back to Canada, for Canadian production chemicals are able to indicate, which parts of the market you’re seeing some strength in it. Would it be Montney or different areas?
Tom Simons: Motley in oil sands.
Cole Pereira: Got you. For U.S. production chemicals, have you seen much of an impact from completions related work so far? Or is it really more a lot of the stimulation type jobs.
Tom Simons: That’s a great question. Not very much contribution in Q3 at all, but we’ve seen some in October, thankfully.
Cole Pereira: Okay, got it. That’s helpful. I’ll turn it back now. Thanks for the answers.
Operator: The next question comes from Tim Monachello for the ATB Capital Markets. Please go ahead.
Tim Monachello: Hey, good morning, everyone.
Tom Simons: Hey, Tim.
Tony Aulicino: Good morning, Tim.
Tim Monachello: Obviously, the U.S. drilling fluids market is fairly transparent. Yes. You can draw fairly quantifiable conclusions on American share there. Not the same sort of clarity in production chemical side. So I’m wondering if you can just talk a little bit about how your market shares progressed to the downturn in production chemicals, and if you’ve seen some upside, like you have in the drilling fluids business. And really what the strategy is sort of over the medium term to gain more penetration into those larger customers on the production side as well.
Tom Simons: Well, we went ahead and built that lab in the Permian, Tim, and have expanded that facility where we blend fill the trucks, stage the product, train the people, do sales calls, analytical work in Gardendale or Midland, because we are expanding our share in the market. We’re clear number three in the lower 48. We actually think we’re number two in the Permian. And there is some third-party data out there that in fact we bought, it’s not inexpensive. You guys are a bank, you can buy it, that corroborates that stuff, I don’t know if it counts wellbores, but it’s customer based intelligence about the market. It’s not service companies telling you what they think of their selves or management representations. It surveys of customers on value creation, on technology delivery, and things like that. But we’re very confident to say that we’re a solid number three and pretty confident we could be two in the Permian. And we remain convinced that’s the upside of the U.S. has the Permian.
Tim Monachello: Okay, great. Have you seen increased penetration in the horizontal production market?
Tom Simons: Well, it was there all along. I mean, everything that’s been brought online in the last five years and the Permian is horizontal, unless it’s a salt water disposal well.
Tim Monachello: Yes. No, I understand that that. But my understanding was that, most of the production treating was sort of vintage vertical wells and the horizontal wells were sort of higher value stuff that was tougher to convert on a customer basis. I’m just curious if that, conversion rate has increased.
Tom Simons: You do both. We would have the vertical wells that you almost would prefer not to treat because they’re not that economic and they require a treater truck often. But then you’re continuously injecting chemical into the big horizontal that could be right beside it taking 10 or 20 times the volume of product continuously instead of this $0.25 million milk truck that squirts some chemical at once a week. You don’t need an MBA to figure out which one’s a better piece of business. We do both and obviously, all the shale production comes from the horizontal wells and for us, and we think the magic or trick to our business is we don’t touch that horizontal well, just treating it. We have a legitimate truck to run the drilling fluids, maybe run the chemicals to drill the frac plugs out with and then treat the well forever. And not very often, but sometimes even provide the frac chemicals, and treat the pipeline or tank that stores the oil or moves it. So for sure, you’ve nailed it that the importance of the horizontals for our business can’t be overstated, but we do a ton of CO2 floods, polymer floods, water floods that stuff’s old vertical wells, and it’s good business for us. And you have to do all of it for your customer.
Tim Monachello: Okay. Got it. I’ll turn the call back. I appreciate all the detail.
Operator: Next question comes from John Gibson with BMO Capital Markets. Please go ahead.
John Gibson: Good morning all. First, looking at the U.S., can you maybe talk about markets share outside of the Permian and more specifically, I’m just trying to get a sense of where you stand in the gassier regions. It looks like you’ve had a pretty good uptick in job count over the past few weeks. I’m just wondering, it’s correlated to that sort of gas focus drilling increase.
Tom Simons: Sure, John. We ran six, seven, maybe eight jobs in the Northeast through the quarter, same drop count today. I’m disappointed to say that pricing there continues to slide down. We’ve seen competitors come into that market late. And so they lead with their chin and work cheap that dreidel play that people are talking about. So the extension of the Eagleford, we have been doing that work. We know about that play and know, we’re excited about the idea that natural gas could be feedstock to be converted to hydrogen and then sequester the carbon. That might be a five or 10 or 15 year process the four fuel cells can be better perfected to power trucks and buses and stuff. But there could be away for fossil fuels to continue to create energy and not put carbon in the atmosphere and that’ll drive drilling and we supply products to drill. So we’re watching natural gas too. And the Marcellus used to be our biggest drilling fluid market before all the money went down to the Eagleford and then went to the Permian. So we know how to work there. We have people in Pittsburgh, we have two mud plants there. One is basically mothballed and the other one supports say the half dozen or eight jobs we run every day and we know how to do both the Utica and the Marcellus.
John Gibson: Okay, great. So I guess it’s fair to say that the market share gains in the U.S. are driven more in the sort of shale regions that you’re more prevalent in.
Tom Simons: Yes. The gains are in the Permian. So it’d be the Midland basin and the Delaware. And I should add, we’ve done a bit of research on how much of the tax base for New Mexico comes from oil and gas. And the estimates are anywhere from 40% to 60%, depending kind of what part of the tax base you’re talking about. But I saw a note yesterday that as much as 60% of the tax base to pay for schools in New Mexico comes from oil and gas, and that our customers have got two years worth of drilling permits on federal and state lands in place in New Mexico. So we think there’s probably runway still in that market for quite a bit of activity there.
John Gibson: Okay, great. Do you mind if I asked the same question in Canada, just in terms of your gas focused jobs and potential market share increases there.
Tom Simons: For sure, that’s been the backbone of our Canadian drilling fluid business. It’s why we built our big facility in Grand Prairie. Why we put rail there that drove our costs of goods down for drilling fluids for production chemicals. We’ve got a little team together for frac now. The Montney and the Duvernay and then all the other plays, the people are reformations to people were poking out between those zones. Those are the places that we want to play for both of our businesses. The wells are hard to drill, if they don’t go well, it’s a disaster economically for the oil company and our market share is astounding. We have ways that we can run the drilling fluids that’s unique to us. So we’ve kind of run the table there. That’s why we’ve got almost 40% of the market in Canada. And it’s been how we’ve been able to get pure chem profitable, there’s paraffin in the condensate that comes out of the Montney, it’s a little bit savour, so it’s highly corrosive, the paraffin breaks out and plugs up the well. And so it’s complex stuff to treat. It has to be treated properly. And so it’s good business for the production chemical company, and we’ve been able to sort of sell to the same customer two different ways then. So great operating leverage.
John Gibson: Next one for me, obviously in a large capital or working capital throughout during the downturn, at what point, or what type of regional environment would we need to see in order to – for it to move sort of the other way towards the build.
Tom Simons: You want to take that Tony?
Tony Aulicino: Yes. I – so we’re obviously naturally going to see a bit of a working capital draw over the next couple of quarters. And that’s really related to the seasonality that that we see in Canada with increased rig activity in Q4 and Q1 versus Q3. And in the U.S., which is less seasonal and has gradually increased from the low 40s that Tom mentioned to the 54 today, they’ve been able to do that quite effectively with – in still focusing on good working capital metrics. So given what we see in the foreseeable future for the industry rig count and watching like Richard Baxter and he has been able to do in with the team in the current environment getting up to that 54 rigs. We expect to be at that 54 rigs and hopefully a little bit higher, but it’s not going to be a massive additional working capital draw based on our current market share and our anticipated rig levels for 2021.
John Gibson: Okay, great. Appreciate the response. I’ll turn back.
Operator: The next question comes from Matthew Weekes with Industrial Alliance Securities. Please go ahead.
Matthew Weekes: Hi, good morning. Thanks for taking my questions. I was just wondering if going forward, if you’d be able to provide any granularity on how much more of the Canada wage benefit you expect to get, going forward as it is extended out to June 2021.
Tom Simons: Yesterday, Matthew, I saw in the elevator riding up to our Board meeting that our glorious leader cautioned everyone that COVID benefits may not last forever. With that, I’ll maybe turn it over to Tony to say what we’ve penciled in for expectations. I heard on the radio this morning that there may be some rent relief for businesses beyond small business. We’re certainly enjoying the benefit of it. It’s allowing us to keep people that, today we have a lot of work for them to do, but over the spring and summer, there wasn’t as much for them to do. We may not have been able to keep them. But Tony, do you want to run through some of the calculations we’ve done, but I do want to make light of the fact that we don’t believe in socialism and we want our business to pay its own way in society.
Tony Aulicino: Thanks, Tom. Yes, good question. And I probably should have provided that information earlier. We did provide an estimate for Q3 that was in that lower $5 million range and ended up being a little bit higher based on calculations during the quarter. Just to help you guys out for Q4 based on our head count and current calculations, we anticipate the queues contribution in Q4 to be approximately $3 million. And for next year, for that first half, we’re expecting to get some queues. We’re expecting a little bit, but given that we’re going to be down to $3 million in Q4. It’s going to be a pretty small number. And as Tom mentioned, we – when we talked about our business and our strategy, it’s based on the amount of EBITDA that we generate and free cash flow that we generate excluding Qs. So $3 million for Q4, and we’re not expecting too much in the first half of next year.
Matthew Weekes: Okay, thank you. That’s helpful. The focus still – focusing on the cost, it looks like cost reduction efforts started to really take shape. We’re pretty successful in the quarter. As you look forward to 2021 on a normalized kind of non-Qs basis. Do you expect that you’ll be able to keep those gross margins kind of close to where they were prior to the downturn sort of in 2019.
Tony Aulicino: From a – sorry, go ahead, Tom.
Tom Simons: Honestly, no, I think that things have changed. As I said there’s going to be some issues with freight. And unless we see more attrition of competitors that are using their balance sheet to subsidize huge oil companies, a company stealing intellectual property, and then working on the cheap to get the work, things like that. I think there could be margin pressure for the whole OFS space. Once the customer gets you to blink on price, it’s tough to get it back. We’ve got agreements with customers that it’s pegged to oil price. You tell us where oil price will be, and we’ll tell you what our margins will be. That’s why I’ve said when planes and office towers are full, we’ll be more bullish. We’ll put the cash to work. It’s hard to predict when that’s going to happen. I hope I’m inoculated in six months and everyone takes a vacation and goes back to work. And oil $60 and gas stays at $3. I – we want to get this business to 15% EBITDA. We want to keep working capital in the low or no higher than mid-30s on the dollar and not get into equipment. And we don’t want to put more debt on the balance sheet. We’re proud of where the bonds hung in there. But if it dips down, we’re going to buy some. And we’re going to keep trying to shrink the share count without getting too cute with how much cash we have in the bank, But it’s – there’s going to be pressure on margin. That’s why I’m choosing not to get too granular about all the different ways that we can prop up margins as we built out this business, we spent 20 years getting this business vertically integrated. We’re not going to show our competitors where the juices in the business. So they can go try and knock it off, because they will.
Matthew Weekes: Yes, absolutely. It’s understandable. I do appreciate the commentary and it’s certainly a nice picture you paint of a $60 oil and everyone getting a vaccine and a nice vacation. So I’ll leave it there and turn the call back.
Tom Simons: I’ll add that our job from now to then is to not go out of business. So that we can all benefit from this on the other side. And we don’t wish anyone ill will, but for people that are running their businesses into the ground and eroding the overall end market for our business lines, we’re going to let them run off a cliff.
Matthew Weekes: Thank you for the commentary. I’ll turn it back.
Operator: [Operator Instructions] Our next question comes from Andrew Bradford with Raymond James. Please go ahead.
Andrew Bradford: Good morning, guys.
Tom Simons: Good morning, Andrew.
Andrew Bradford: Thanks for taking all these questions. Happily most of the questions had already really taken up by others in the call, except for one. So the thing I’m kind of curious about is how – as we’re starting to ramp back up again, and I want to be careful how we described that for sure. And I’m sure you do too. But as things start to get busier and you get a call on working capital, I can understand how you might want to – might view this as going to be justified reviews has. How you finance that working capital? You could easily finance it through your credit facilities. And without really adding any as you’ve shown without really adding any risks to the business, because it’s – you’ve demonstrated through the $150 million drawdown that it’s completely reversible. So how are you viewing that? Is this – are you going to view this as an opportunity to use your cash flow to fund that working capital? Or you’re going to use this to – are you – you think you might be allowed debt to rent back up once again, as things start to get busier, one philosophical question than anything. And again, that would be not withstanding whatever your plans might be with respect to the NCIB.
Tom Simons: So I’ll handle this one, Tony. We’re going to make everyone tune into the Q4 call and find out what we did. I’m going to steal the words of the CEO of one of our top customers. I think we have a generational opportunity, Andrew. It’s horrible what’s happened in the world, obviously with the pandemic. But I agree with you. We’ve got access to liquidity. And as long as we work for people that pay us all that working capital comes back. The next time there’s an energy bust, which of course, will happen. So we’re going to try and be savvy with how we spend this money. And I’m happy that the bond hanging around 90, but there are days where I wish it was 70. So we’re going to act like business people. And we’re going to try and deploy that money to maximize what everyone on this call gets for it.
Andrew Bradford: Okay. Like I said, that was my last question. So thank you very much.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Tom Simons for any closing remarks.
Tom Simons: Well, thank you, everyone for the great questions. Tony, great job on the call. And I’ll summarize it by saying that people should expect us to continue what we think is prudent operational and financial management of the company. We believe that we can continue to generate free cash flow running the business this way. As I said, we’re going to retain flexibility to maximize value for all stakeholders. And they do want to truly thank our employees and our customers and to sure equity and bond holders that we have our eye on the ball. And with that, I’m going to conclude today’s call
Operator: This concludes today’s conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.